Operator: Good morning, my name is Lorill and I’ll be your conference operator today. At this time I would like to welcome everyone to Sandstorm Gold Q1 Earnings Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks we will have a question-and-answer session (Operator Instruction). Thank you, I’d now like to turn the call over to Mr. Denver Harris, please go ahead sir.
Denver Harris: Good morning, everyone and thank you for joining today’s conference call. With me, I have Sandstorm's President and CEO, Nolan Watson; CFO, Erfan Kazemi; and Senior Executive Vice President, David Awram. Before we get started, please be advised that some of the commentary on today’s call may contain forward-looking statements. There can be no assurance that forward-looking statements will prove to be accurate as actual results and future events could differ materially from those anticipated in such statements. I’ll now turn things over to Nolan for his comments on the quarter.
Nolan Watson: Thank you, Denver, and thank you ladies and gentlemen for participating in today’s call. So, this morning Erfan our CFO will be taking us through the financial results in detail, which we’re pleased to see was a record quarter from a revenue perspective and as a result, we are reiterating our annual production guidance of 33,000 to 40,000 ounces for the year, which has not include any attributable production from Premier Royalty. But before I hand it over to Erfan, I thought I would just provide a general business update as well as clarify few specific financial results items for Q1. The first financial result item I think as we’re clarifying is the goodwill impairment related to Premier Royalty. And as we have discussed in the past Royalty companies typically traded a premium to NAV, and as we paid approximately 1.2 times NAV for our 60% interest in Premier. For accounting purposes, you can only allocate one-time NAV to this specific royalties for accounting. And a 0.2 times NAV that has to be allocated to goodwill and under the old Canadian GAAP rules used to be able to amortize goodwill income. However under the current IFRS will, you have to literally let us sit there on your balance sheet in definitely into one day you can no longer justify it and then you write it off. So my experience any goodwill sitting on the balance sheet is there perpetually focused on as investors are always kind of figure out when it’s eventually going to be written-off into the access ongoing overhang. In addition my experience in the U.S. is that the U.S. Securities regulators have a tough time dealing with goodwill in the resource industry. And they can cause companies ongoing reviews and frustrations et cetera. And it’s for that reason that I have a strong bias to getting as much it off the balance sheet as we can possibly justify. This management has leeway with respect to their polices and judgments relating to goodwill. I prefer to have this goodwill dropped to a number that is not very material. And it will not be focused on going forward that are accounting forward will be as clean as possible and as a goodwill will not be focused other methods. The second financial result item I believe it’s worth point out is with respect to our operating cash flow, which were $7 million for the quarter. During the quarter we paid down some accounts payable and our accounts receivable went up which primarily related to timing of payments at Premier and so in aggregate those two things had an effective $2 million as an increase to non-cash working capital. And so what that means is without those two things in a normalized quarter we would have had $9 million of operating cash flow for the quarter, which is very close to a record for us. The final thing, I think that’s worth touching on is with respect to G&A expenses. You will note that our G&A have grown up during the quarter because we had to consolidate 100% of Premier Royalty’s G&A for a portion of the quarter that we own them. And we’re going to have to continue doing this going-forward. So over the coming year, our G&A will very much be something I focus on to ensure that as we grow Sandstorm, our G&A does not grow proportionally. Right now, majority of our G&A is related to corporate development in growing the business, so the actual G&A cost associated with only the maintenance of the business of our existing portfolio is much lower. Moving into an update on the business, I want to provide a brief update on the status of the Entrée and Premier transactions, and discuss our corporate development pipeline. So, with respect to Entrée, I believe there is a bit of a misunderstanding in the marketplaces some of our investors believe that the Mongolian government has expropriated Entrée’s joint venture ground, which has not happened. The government has merely told Entrée that they must ensure, that when they upgraded their exploration concessions into mining concessions that the changed status was done in a manner that within accordance with the Mineral Resource authority of Mongolia’s administrative procedures. As my understanding this is already verbally been confirmed with the Mineral Reserve authority and that they don’t have concerns, so it appears to be business as usual. The only limitation that Entrée can’t sell their concessions to a third party enter until they get written confirmation, which does not affect Sandstorm stream, because the streaming was done between the two Canadian parent companies, so despite all the noise things appeared to be going well on the Entrée stream. With respect to Premier Royalty things are going well. We’ve already been passing a number of opportunities back and forth and our teams are integrating well. Next week they have an Annual General Meeting and their Board is being reconstituted to have five Directors and three of which are Sandstorm appointees. It’s also worth noting that when we acquire Premier Royalty from Premier Gold the $70 million temporary line of credit that we provided to Premier Gold was simply until they exercise the Sandstorm warrants and turn them into Sandstorm shares. And as they exercised the warrants and turn them into shares the line of credit gets reduced. So, Premier Gold has already exercised most of the warrants and the line of credit is already down to $17 million, and will likely be zero by the end of this month and certainly it will be zero by July 31, which is the expiry date and so therefore this facility is almost gone already and will certainly be fully gone very shortly. So that leaves us cash on the balance sheet, strong positive cash flows, an undrawn $100 million revolving line of credit and $40 million of warrant money that we expect to come in within the next 11 months. As a result our corporate development team is working hard to find accretive streams on advantage assets, with low cash costs. Right now, other than the odd small royalty we’ve focused solely on streams and assets that are very advance from a development perspective in fact nearly half of the transactions we’re seriously evaluating on an assets that are currently under construction. So very focused on obtaining additional cash flows as soon as possible, however, my overall view on the gold industry is that things are going to be tough for a while with continued short-term gold pricing pressures and therefore we want to ensure that we take our time and we focus only on better deals on high-quality mines. Right now, the gold market is very much in a state of flux, with high volatility not only high volatility in the gold price, but also high volatility in th stock prices of companies in the industry including ours, and so we have been getting a number of questions from investors as to whether we should a) be doing lots of deals in this environment b) be paying dividends or c) buying back our own shares. Currently the plan is to strategically deploy our cash, purchasing additional streams, and then within a couple of years to clear small dividend, which we would plan to increase overtime. Currently we are not planning any share buyback, but I’ll never say never because there is certainly a share price situation in which we could reconsider it. So overall with respect to capital allocation, the industry continues to change and therefore we will continue to reevaluate our plan. We believe that the current plan of focusing on accretive streams with cash flow on the short-term in the appropriate strategy for Sandstorm shareholders in this market environment. Right now Sandstorm has significant cash on our balance sheet. And as I said significant cash flow from operations, we have large gross margins and lots of streaming opportunities. And so this is a very good time in the industry for Sandstorm. So with that, I am going to hand it over to Erfan Kazemi, our CFO to walk through the financial results in more detail. And then Erfan will hand it off to Dave Awram, who will be providing an update on some of our existing projects. Erfan?
Erfan Kazemi: Thanks, Nolan. Sandstorm impairment charge and Sandstorm net income, we posted good numbers for the quarter reported $15.4 million in revenue a record driven by the sale of approximately 8,600 ounces of gold, sovereign average realized gold price of over $1,600 an ounce. And our operating cash flow was approximately $7 million, almost all of which is true free cash flow Sandstorm during that in future gold streaming opportunity. The gold mine underlying Sandstorm streams are producing inline with expectation. And to give you an idea of how the numbers back up compared to last quarter I’ll go through few examples. We recorded over 2,200 ounces coming from Brigus Gold, Black Fox mine an increase of over 16% compared to the previous quarter. The most recent project to initiate production, the Bachelor Lake Mine showed significant growth in ounces produced and sold. The approximate 1,500 ounces attributable to Sandstorm was an increase of over 160% over Q4. Sandstorm sold over 3,200 ounces of gold attributable to Luna’s Aurizona mine during Q1 and while some of that related to the timing of shipment that represents 13% increase over the fourth quarter of 2012. The production increases that I mentioned were partially offset by production declines from the Santa Elena mine and Ming Mine. Santa Elena has been mining ore with lower gold grade levels as of late and the Ming Mine has produced less gold since switching to copper concentrator. We reiterate our guidance and are anticipating 33,000 ounces to 40,000 ounces of attributable gold production in 2013 increasing to approximately 70,000 gold equivalent ounces by 2016. Before I turn things over to Dave, I want to touch based on our Company’s liquidity position. As of the end of March, we had approximately $97 million in cash of which approximately $30 million related to Premier. We put that with $100 million undrawn revolving line of credit, $60 million in money warrant and with our operating cash flow, you can see how that put Sandstorm in a great position to continue its growth. Dave?
David Awram: Thanks, Erfan. So, when the price of gold drops below $1,400 per ounce last month, we received a lot of questions related to the cash costs of our mining partners. Specifically investors wanted to know what gold price would these mines be uneconomic and start shutting down. Now, right from the beginning focusing on good economic has always been important to us and an important aspect to consider on every acquisition we make. So don’t take [a chip committed] surprise that we do see a lot of strength in these operating assets, despite the fact that some of them are relatively small. 80% Sandstorm’s attributable gold production came from three mines this quarter; Aurizona, Black Fox, and Santa Elena. To give you an idea of the cost of these projects in Q4, Luna Gold were to cash cost of $651 per ounce in Aurizona, Brigus Gold were to cash cost $685 per ounce and SilverCrest reported gold at Santa Elena for $443 per ounce. Of course, in today’s market discussion of all-in cost it’s more prevalent. So, in addition to the operating cash cost I mentioned our partner companies have seen CapEx, exploration budgets in general, administrative expenses as well as expansion plans. Some of these items can be scaled back into a degree discretionary, but when annualized all three of these producers are well below all-in cost from most of their peers and other gold producing mines, which was a defining characteristics that we’ve always looked for from our acquisitions. This also translates into looking for potential new opportunities. A key attribute that our corporate development team looks for is whether not a mine will be in the lower end of cost curve and has the exceptional economics that we need the projects to have. We have to align ourselves with the projects. They can survive an extended period with low gold prices and based on the figures I just provided I think we’ve done a good job on that so far. Another important aspect in addition to the strong economics that we’re focused our acquisition strategies stay away from higher CapEx assets. We purposefully stay away from projects that we question the ability to fully finance, but at the same time we’re also keeping our eye on the good assets that we believe will be mines in the future after certain hurdles are met. I’d like to think that we’ve always kept these guidelines of goals for acquisitions and since we’re always planning in the long-term on acquisition strategy regardless of really what kind of markets we see. So, I’ll give just a quick update on some of the assets. There has been a whole lot of change in the assets from the last update on the last quarterly call, but I’ll just revise some items that have been picked up. So at Aurizona Phase I is proceeding on schedule and most improvements are still expected to be made by the end of Q3. We just had a contingent of people down at site for a chance to observe really what’s going on there. We are still very, very excited about the exploration potential that still exists at Aurizona and as soon Luna will have some additional cash, we certainly do expect them to be able to get some great exploration results out of that asset. At Santa Elena, we are expecting a pre-feasibility study on the mine and the underground mine any week now. So far the project CapEx for this item is on budget from what their original guidance has been. At Serra Pelada, we also had a chance just last week to get a couple of people down to the asset. They are still shooting for gold production by the end of the year. Progress has been made on the development and the [bug sample]. The mill is well underway and things are looking from that perspective. And then, Bachelor Lake and Bracemac-McLeod are both set to come online this year with commercial production. Erfan also giving that update on really the improvements that they’ve made quarter-to-quarter on gold production. That’s all I really have right now. So what we’ll do is we’ll open up to questions, and if people have question on specific assets we’ll do our best to answer them here on the line.
Operator: (Operator Instructions) And your first question comes from the line of Shane Nagle. Your line is open.
Shane Nagle – National Bank Financial Brokers: Thanks, operator. Appreciate the quarter, guys. Just one quick question on the Mutiny stream, obviously that money, I guess, just wondering when we should model in the redemption of those, I guess the $29 million that’s up to be paid, just an update maybe on their financing situation and how things are going there?
Nolan Watson: Absolutely. In fact we’ve got someone down in Australia right now, meeting with them as we speak, just getting the full detailed updated. I did speak with their CEO about 10 days ago and they are continuing to work on their financial, obviously with their market environment doing what it’s doing, thanks to the running money there, taking a little bit longer than normal. So things are going a little bit slow there. May 31 is the date by which they have to get everything sort of signed up in terms of intercreditor agreements between us and the banks and if they don’t then Sandstorm will have the option to continue to extend that deadline as they take longer or we can choose to step away and not have to pay that capital. We still like the asset quite a bit and so we’ll just continue to watch that over the next several months and see how it goes.
Shane Nagle – National Bank Financial Brokers: So, the tradeoff between Wing paying them the money at the end of the month versus what you could buy that you don’t [own] with that $30 million?
Nolan Watson: Yeah, absolutely. We still think it is a good asset. We like the management team. We like things that they have done and it’s very much a deal that we would like to see come to fruition, but if it does take longer and we find a better place to allocate capital in the mean time that’s something that we’ll have to seriously consider.
Shane Nagle – National Bank Financial Brokers: Okay. Thanks, guys.
Operator: (Operator Instructions) Your next question comes from the line of Dan Rollins. Your line is open.
Dan Rollins – RBC Dominion Securities, Inc.: Yeah. A couple of questions. Good morning, everyone. Erfan, I sort of missed it, but could you just state how much of the cash on the balance sheet was consolidated from Premier?
Erfan Kazemi: Yeah. So, we consolidated 100% Premier’s operating results including their balance sheet. So when you see $96.9 million on our balance sheet respect to cash, it was about little over, somewhere between $29 million and $30 million that relates to the Premier.
Dan Rollins – RBC Dominion Securities, Inc.: Okay. Perfect. And then, maybe Nolan or David, not a very, very small stream. What’s the status of your discussions with the gentlemen at Summit?
Nolan Watson: In fact, I think we have a conference call with them today to get update from them on that. They are continuing to work of getting additional capital. The mine is still operating and we’re sort of operating under, basically understanding whereby we are accruing (inaudible) which assuming they have the capital, they have to pay to us by middle of 2014. So I wouldn’t expect to see a material production from them in 2013 year, but as long as they can keep it going and bring in some cash, it should be getting some cash from them in 2014.
Dan Rollins – RBC Dominion Securities, Inc.: Okay. And then, maybe just on the corporate development side. Obviously there’s been a couple of new players in the space, in the royalty/streaming space, there’s a couple of private out there. With respect to some of the streams that you are looking at, are you seeing increased competition? And then second question, which respect to those streams you’re seeing, how many of these would you say are near the line deals where basically Sandstorm would be sort of the last piece of the financing puzzle, because I know you can do deals right now, but [there’s probably] a lot of deals where people still need either equity or debt plus a stream financing package to get these products over the line?
Nolan Watson: Yeah, we are focusing the vast majority of our efforts and the things that we are seriously evaluating are our situations where what we would be providing them in terms of capital, in combination with the capital that would be coming in simultaneously would be all that was required to get the asset into production. So we’re very much focused on things that we’ll be producing soon, not things where we don’t know where they’re going to get the rest of the capital. We just don’t want to put in lots of capital into something where we didn’t have to sit there and we hope they can raise the rest of the money. So you’re right. That’s what we’re focused on. With respect to competition, the only serious competitor that we had seen our ourselves having was Premier Royalty. They are the only ones that actually had cash on the balance sheet and an existing portfolio that was cash flowing and obviously we own control of them now. There are a couple of really small companies that every now and then you see get started up, trying to be the next Sandstorm or the next Franco-Nevada and they run out of capital and they don’t get into cash flowing positions and they struggle substantially and then they go by the way side and after merge off or get bought or something like that. I don’t want to same name specific names, but there is a couple of them already that are in debt positions and don’t have any cash and don’t have any cash flow and they’re absolutely not serious competitors to us. We saw few weeks ago a new company, which I won’t mention or name again publicly, but put out a press release saying they’re buying a stream subject to financing and I would say good luck to them. I think they are into a very, very tough time and their shareholders are into a little bit of a rough time. So right now we’re not seeing any real competition for many of those guys.
David Awram: Yeah, so, Dan, it’s kind of filling some more about the competition and really what we said for a long time. Our competition is really not other royalty or streaming companies a competition is primarily equity markets, and even debt, and to a big degree, that’s really dried out for most of our partners, in fact that’s really why we’re seeing emerging lot of these opportunities where we do get the opportunity to be utilize money on transactions. Some of those things probably were not available to us, call it 12 or 18 months. Whereas now we have reached into more of those types of deals so, in terms of competition certainly we see things much less now then even call it 12 or 14 months ago.
Dan Rollins – RBC Dominion Securities, Inc.: And then, I just know we’re talking some of the other players what they’ve seen is with the pullback in both gold and coal pressures, metal prices that the sort of value you’d have been offering say three months ago were significantly less than they are now, are you seeing a willingness from your counter parties to sort of accept the new reality or they still hoping that there will be, other push you guys on the price?
Nolan Watson: When I think really what we’ve seen is that a lot of the mining companies are getting a good grasp what this new reality is, and the reality is, is that there is a lot of danger in trying to figure out, how to finance your projects. You didn’t finance it adequately or properly there is a good chance that you’re going to loose in this type of market environment. So, yeah we’re able to adjust valuations, we’ve been trying to be and make sure that we’re providing this good value for our shareholders for our next deals. So, we’re really kind of tightening everything up as best as we can.
Dan Rollins – RBC Dominion Securities, Inc.: Perfect, we’re looking forward to that next deal and congratulations.
Nolan Watson: Yeah, thank you.
Operator: Your next question comes from the line of Nicholas Campbell, your line is open.
Nicholas Campbell – Canaccord Genuity Corp.: Hey guys, I was wondering if you can give us any color on the SilverCrest agreement, and the contribution that you guys are supposed to make in order to participate in the underground gold production there?.
Nolan Watson: Yeah, it’ Nolan here so, we had a conversation with our management team a couple of weeks ago and although it will probably take us a month or two to figure out exactly, what the specific number would be for Sandstorm to have option into that underground mine. My understanding is that the total CapEx of the project is $60 million or so. And that all we have to pay, Sandstorm to opt into that is 20% of the value associated with gold. So, the underground mine actually is lot higher in silver grades compared to the open pit mine and it’s arguably more of a silver mine than gold mine that underground mine, so if you take the $60 million and assume 40% or 50% of it is gold. You come down to $25 million to $30 million CapEx associated with gold. And then, we would have to pay 20% of that number to option into it, so I would kind of be expecting somewhere in the range of $6 million or something like that.
Erfan Kazemi: And then also by switching over from heap leach to Ming, don’t forget that recovery is on the silver side are going to increase by close to 100%, where as recoveries on the gold side will increase that only by about 40%. So that’s make the difference to the overall economics even just the existing open pit resources as well.
Nicholas Campbell – Canaccord Genuity Corp.: Is the deals specifies just the upfront CapEx, it’s nothing associated with the life of mine sustaining CapEx.
Erfan Kazemi: We’re going through that right now, yeah, basically the way that agreement works is that, it defines, an underground mine is something that can be multiple events. So to find one underground mine and build all of its infrastructure there will be capital associated with that. And they could also find a separate underground mine, let’s they find another vein somewhere on the property and prove it up, and then put down another underground declines, and that would be a separate underground mine option. In terms of though just regular sustaining capital on a day-by-day basis, I don’t believe that we will be subject to that, which is one of the reasons that you saw the ongoing payment per ounce under the contract for ounces that come from the underground mine they are $100 higher per ounce than for the open pit.
Nicholas Campbell – Canaccord Genuity Corp.: Sure, okay. All right, thanks. As I think my others questions have been answered. Thanks a lot.
Nolan Watson: Great, thank you.
Operator: And your last question comes from the line of Richard Gray. Your line is open.
Richard P. Gray – Cormark Securities: Hi, guys just a follow-up to previous questions. Is there a scenario where you go to Mutiny and say, the realty has changed here we want better terms on that stream. Could you, is that a potential outcome of your decision on May 31
Erfan Kazemi: No, I would prefer not to negotiate that in public further negotiate with them. But I would say in this market environment all options need to be on the table for us.
Richard P. Gray – Cormark Securities: Fair question thanks.
Operator: No questions, I will now turn the call back over to Mr. Watson.
Nolan Watson: Great, well thanks everyone again for phoning into the Q1 conference call. And as always if you have any further questions, feel free to phone us at Sandstorm, we’re happy to answer those questions any time. And hope everyone has a good day. Thank you.
Operator: This concludes today's conference call. You may now disconnect.